Operator: Greetings, and welcome to the Ecolab First Quarter 2024 Earnings Release Conference Call. [Operator Instructions] As a reminder this conference is being recorded. At this time it's now my pleasure to introduce your host, Andy Hedberg, Vice President and Investor Relations for Ecolab. Mr. Hedberg, you may now begin your presentation. 
Andy Hedberg: Thank you, and hello, everyone, and welcome to Ecolab's First Quarter Conference Call. With me today are Christophe Beck, Ecolab's Chairman and CEO and Scott Kirkland, our CFO. A discussion of our results, along with our earnings release and the slides referencing the quarter results are available on Ecolab's website at ecolab.com/investor. Please take a moment to read the cautionary statements in these materials, which state that this teleconference and the associated supplemental materials include estimates of future performance. 
 These are forward-looking statements, and actual results could differ materially from those projected. Factors that could cause actual results to differ are described under the Risk Factors section in our most recent Form 10-K and in our posted materials. We also refer you to the supplemental diluted earnings per share information and release.  
 With that, I'd like to turn the call over to Christophe Beck for his comments. 
Christophe Beck: Thank you so much, Andy, and welcome to everyone on the call. We're really pleased to report that Ecolab is off to a strong start. In 2024 with first quarter organic sales growth of 5% and organic operating income margin expansion of 400 basis points, driving adjusted earnings per share up 52%. We remain firmly on our long-term 12% to 15% earnings growth trajectory with our exceptional growth in the first quarter being the result of strong execution on fundamentals and the additional benefit of lower delivered product costs. 
 This strong performance is a testament to the excellent dedication and execution of the entire Ecolab team, and I'm so proud of this team. We're encouraged by the current pace and momentum of our business. Our efforts resulted in the delivery of 3% pricing, which included new pricing implemented during the quarter and a modest carryover benefit from last year's pricing action and brought us slightly above our 2 percentage point plus long-term run rate.  
 This delivery, along with continued positive volume growth is possible because of our customer value proposition because of the value we provide, the spend with Ecolab is a benefit and not a cost. This good top line growth, combined with the anticipated easing of delivered product costs, continued the strong organic operating income margin expansion across the majority of our business segments and geographical regions.  
 We're very pleased with the margin expansion we have delivered and remain focused on achieving our 20% operating income margin target over the next few years. As we continue to execute against this target, gross margin is expected to continue on its positive trajectory. At the same time, we are now reinvesting some of these gains back into our business to fuel our long-term growth. Importantly, our underlying productivity remains strong, and we see opportunities to further improve by leveraging our leading digital capabilities. 
 Looking across our segments, Institutional Specialty continued to perform exceptionally well. This team delivered double-digit sales growth and a very attractive operating income margin. as our labor savings value proposition continue to resonate with our customers. Going forward, we expect the rate of organic sales growth for institutional specialty to moderate somewhat as we lap last year's strong pricing delivery. Industrial made a good underlying progress, improving its volume trajectory in a volatile global environment. Excluding continued soft near-term paper industry demand, industrials volume grew, a nice improvement from the second half of last year.  
 Health care and life sciences remained relatively flattish but life sciences sales grew modestly, which I consider constructive news given the continued short-term soft industry trends. We, therefore, expect trends to progressively improve during the second half of the year. 
 As promised, we continue to take the action needed to transform our health care business. A year ago, we took the first step in our journey by adjusting our cost structure to a more competitive level. Then in the third quarter of last year, we took our second step by bifurcating our North American health care business into 2 separate businesses, Surgical and Infection Prevention.  
 Today, we made further progress by announcing an agreement to sell our surgical drapes business to Midline. Once and if this transaction closes after regulatory clearance, we will have a renewed focus on the instrument reprocessing portion of the remaining health care business. This business has the core elements of the classic Ecolab business model that combines an anchor platform with consumables, personal service and digital solutions.  
 What is more to be done. I'm proud of the progress we've made to create a more sustainable, profitable health care business that delivers for our important hospital customers. Finally, pest elimination, which is now a standalone segment due to its relevance and promising performance, continued to execute very well. Sales grew upper single digits with double-digit organic operating income growth, benefiting from a circle the customer, circle the growth, cross-selling strategy. 
 Looking ahead, the confidence we have in our 2024 performance continues to strengthen. We expect organic sales growth to remain relatively stable, driving 2% to 3% price and 1% to 2% volume growth. We are increasing our outlook for full year 2024 adjusted EPS to the range of $6.40 to $6.70, up 23% to 29% versus last year as we now anticipate delivered product costs to ease through the third quarter though the magnitude of cost favorability is expected to gradually diminish.  
 This along with continued pricing and volume growth I expect it to more than offset the estimated $15 million per quarter OI headwind from the divestiture of our Surgical Healthcare business once the transaction closes. As a result, we anticipate quarterly adjusted diluted earnings per share growth in the second half of 2024 to progressively normalize towards the upper end of Ecolab's long-term 12% to 15% target a short-term benefit from lower delivered product costs ease.  
 As always, we will remain good stewards of capital by continuing to invest in the business, increasing our dividend and returning cash to shareholders. With great business momentum and cash flows, our balance sheet is in a very strong position. This provides us with many options to allocate capital to growth opportunities that will generate continued strong returns for shareholders. 
 Ecolab's future has never looked brighter. Our leading customer value proposition where our technologies help customers improve their operating performance while reducing the water and energy use is proving to be increasingly relevant and continues to fuel our growth, pricing and margin expansion. 
 Backed by the most talented team leading technology innovation and global capabilities, our strategic positioning enables us to consistently expand our market share within the vast and high-quality $152 billion market we serve. We, therefore, remain confident in delivering superior performance for our customers and for our shareholders for the years to come.  
 Thank you for your continued support and investment in Ecolab. I look forward to your questions. 
Andy Hedberg: Thanks, Christophe. That concludes our formal remarks. Operator, would you please begin the question-and-answer period? 
Operator: [Operator Instructions] Our first question comes from the line of Tim Mulrooney with William Blair. 
Timothy Mulrooney: I wanted to ask about your growth investments. It sounds like you're stepping up SG&A a little bit. So I guess my question is twofold. Number one, does this impact how you're thinking about timing to achieve your 20% OI margin? I know a big chunk was gross margin expansion, but I also know to hit that target was a couple of hundred basis points of SG&A leverage. So how are you thinking about that 20% target now? And then secondly, on the investments themselves, can you talk a little bit more detail about what are -- what parts of the business they're going into? 
 I know part of the reason that Ecolab has sustained its competitive advantage has been its willingness to invest in areas where others have cut costs. So I'm not saying it's a bad effect of these investments, the way that 20% OI margin timing, but I was just curious what the strategy is around the step-up here? 
Christophe Beck: Thank you, Tim. Let me start with the second part of your question. We are in a great fortunate place, obviously, here where we have top line momentum, and we have margin expansion. And both are obviously feeding our opportunities to invest behind our teams, our technology and our future, which is exactly the place where we want to be on a continuous basis as well.  
 Now as we accelerate our growth investment, at the same time, we're also keeping a very close eye on our underlying productivity. And I like what I see. It's important to have both that on one hand, underlying productivity keeps getting better on a long-term basis, and we've done a good job at that. And at the same time, that we can invest when time is right, for the growth for the future. And regarding those investments that we're making, it's mostly behind 3 growth drivers, Tim. The first 1 is growth via power. We're a machine that's here to serve more customers to serve them more broadly and more deeply as well, having more people serving those customers and supporting those people serving those customers will feed into our accelerated growth.  
 The second part is digital and AI technology and services that we can sell. We're making very good progress on that front, and I look forward to sharing more with you as we move forward and especially in '25 because we see a lot of very good progress on that front, serving our customers with digital technology, with AI services and data that we can sell.  
 And the third driver, our capabilities to serve as one Ecolab, where we can bring all the businesses together to serve one customer consistently everywhere around the world and that's a unique opportunity for us to get that job done as well as we speak and in the next few quarters. 
 And back to your first question related to the 20% OI target. Well, with faster growth and further margin expansion, it's making me more confident that we will get to this 20% margin in the next few years, as I've shared with you, and we will keep informing you as well on the progress that we're making on that path. But so far, very good progress made. 
Operator: Our next question is from the line of Ashish Sabadra with RBC. 
Ashish Sabadra: Just on the DPC. I was wondering if you could elaborate how much was the DPC lower on a year-on-year basis, but how it's trending compared to pre-pandemic level, expectations for second quarter and rest of the year? 
Christophe Beck: Thank you, Ashish. I'll pass that question to Scott, who will be best positioned to answer. 
Scott Kirkland: Yes. Thanks, Christophe. Thanks, Ashish, for the question. So as you know, we've talked about before, we buy over 10,000 raw materials. So individually, they're moving in different places. But as we expected for Q1 in totality, DPC decreased in the upper single digits, and that was as we expected and as we guided to. And as Christophe said in his opening statement, as you talked about, how we see it throughout the year, expect that DPC to continue to ease through the year, but the magnitude of that favorability will diminish from Q1 to Q3. So going from this high single digits to lower single digits by Q3. And then to your last point about where we are versus prepandemic levels, commodity costs still remain as you've probably seen, very high versus pre-inflationary levels or pre-pandemic levels. 
Operator: Our next question is from the line of Manav Patnaik with Barclays. 
Manav Patnaik: Christophe, I just wanted to -- a bigger picture question on the components of the growth. So it sounds like from what you said, the new kind of 2% to 3% pricing seems like that realization should be on track. And then I think a lot of the volume growth was kind of your own initiatives this quarter. So I just wanted to confirm those 2 and then just get your take on the third piece, which is just the macro? Like what are the volumes in Europe and U.S.A. looking like without your kind of new business pipeline? 
Christophe Beck: Thank you, Manav, good to hear you. A few things here. So maybe starting with the macro. I would say, kind of unchanged. There's a lot of puts and takes, obviously, in all the 40 end markets that we serve. But -- what we've seen in '23 is what we're seeing in '24 overall. So feel good about the general macro, at least with everything we know now. 
 We know it's an unpredictable world out there. But with everything we know, I feel good about where we are and where we're going. Then related to questions on pricing and volume. We feel increasingly good about our long-term pricing muscle, which you know is based always on what we call total value delivered, which are the savings we're generating for our customers, which usually are at least 2x the pricing that customers are giving us as well.
 So it's a very good win-win for both the customer and for us. So when we said 2 plus, now I'm saying for 2 to 3 and 4 for '24, I feel very good about delivering that. And on the volume side, well, as you've seen, so from our Q4 to Q1. So volume has moved up overall as a company. So that's a good indication, obviously, that our shift to offense that we started a year-ish ago, is really working well. 
 Our new business is at record levels. We're investing, as I've shared just before with team as well. So behind our team, behind technology, behind capabilities, in order to sustain and accelerate that. So the volume is 1% to 2%. I feel really good about it as well, not every quarter is created equal. But generally, we should have a very good year in '24. 
Operator: Our next question is from the line of John Roberts with Mizuho. 
John Ezekiel Roberts: A couple of quarters ago, you changed how you operate the health care business, now with the global surgical solutions being sold, are there still additional changes -- structural changes that you're going to make there? 
Christophe Beck: Not much. There were 4 points on my plan, John, and I shared with you, you saw each step that we made when I could, obviously, so do so. The first 1 was to really adjust the cost structure. We did that. The second was to create that bifurcation for infection prevention and surgical, which happened very well in the latter part of last year and now so the pending sale of our Surgical Solutions business to Medline, that step 3. 
 It's been a great transaction. So was a great partner. I feel really good with where we are and hope to close as quickly as we can on this one. And then there is the point 4. And the point 4 is to build our infection prevention business around a typical Ecolab style type of business, which means with a machine, with consumables service, with digital technology. And that's the instrument and endoscope reprocessing business that we have as part of infection prevention today that we want to keep building in the years to come because it's a winning market.  
 It's a market where we have all the rights to win, typical model for Ecolab as well, and we know exactly how to run a business that way. So it's the right focus, it's the right team. We will keep adjusting, obviously, so how we evolve that business. We will be building that business over the years to come. There will be internal innovation. There might be some small acquisition as well as to it, nothing dramatic. I want to build a great health care business in the years to come. It's going to take some time. It's never easy, but we're going to get to the right place as we've always done with our previous new businesses in the company. 
Operator: Our next question comes from the line of Josh Spector with UBS. 
Joshua Spector: I wanted to ask a couple of related things around institutional and specialty. So first, congrats, really strong performance in the quarter. I think we know the optics of pricing coming down. But if we say pricing in the segment was anywhere near the ballpark in the total company, it looks like volumes were up high single digits. And it's a pretty meaningful step-up on year-over-year and multiyear stack. 
 So the question is really, is that momentum that you think can be maintained? Is that the new wins flowing through and you could deliver call it, mid- to high single-digit volumes on institutional through this year? And the second part is more around margins and that typically is a pretty meaningful step-up in that second, first quarter to fourth quarter, call it, 400 to 500 basis points any reason why we shouldn't see that in that framework for this year. 
Christophe Beck: Thank you, Josh, especially for nice comments. So the team has done an unbelievable work in the last quarter, like in the many prior to that as well. So back to your question on institutional and specialty. This business has been now for quite a while on a great path. As I've shared with you, very openly, the pandemic has been game changing for this business, and I mean that in a very positive way. 
 Generally, the industry is doing quite well, people have enjoyed going back to hotels, restaurants and travel. People have been open to pay more. And it's an industry that, at the same time, have been able to reduce their cost because they had a hard time as well to get all the staffing that they were looking for. That meant better margin for them, better traffic for them as well. 
 Overall, an industry that is in a much, much better place than it used to be as well. Well, we've taken that opportunity to also improve our business in a dramatic manner in North America, like everywhere else around the world and I absolutely love what this institutional team has done around the world because we've been able to align with exactly what the customers needed short term when they were reopening, midterm now where they need. So solutions in order to serve the increased traffic that they see. 
 And most importantly, they need to reduce their labor cost. Well, that's exactly what we help them do with all our automation solution, it can be software, it can be training, it can be chemistry, it can be technology, you will see that at the National Restaurant Association Show as well in a month from now, very good stuff happening, which is driving all the growth of that business and the willingness for customers to pay more for those solutions because as always, they get more value than the price that they're paying ultimately so for us.  
 So to your question on the long-term trajectory for institutional. I think that this 5 to 7 that we've talked about for the company should be the swim lane for institutional as well long term. And there will be times where they will be better than that and sometimes, they might be a little bit on the lower end. I think that this year, they're going to have a very good year and institutional. 
 And if it continues that way, while it's going to line up with what I just said in terms of long-term trajectory. For the margin, they're in a very good place right now. They're expanding so quicker than we had expected as well with volume that's a bit lower than where it used to be, pre-pandemic. 
 Well, that's basically demonstrating that the institutional P&L is much better than it used to be. As volume will recover, the margins will keep improving as well. And the P&L of that business will keep getting better. So that's a typical business that's going to be north of 20% pretty quickly. And we'll keep growing from there because it's in a great position to do so. All in all, a great business with a great future. 
Operator: Our next question is from the line of Chris Parkinson with Wolfe Research. 
Christopher Parkinson: On the global Pest Elimination business, you're offering a little bit more detail, and we've been hearing about the business for a while. But can you just offer a little bit more color on how you're thinking about that business strategically? Is this simply just, "hey, it's a great institutional service-driven pricing as business?" Is this more of a roll-up, should be emphasizing, I think, the old terminology was enterprise selling across your institutional clients? Just if you could offer a little bit more insights on how we should be modeling that and your thought process that would be very helpful? 
Christophe Beck: Thank you, Chris. I've never personally worked in the Pest Elimination business, but I love that business. It's unbelievable the performance that it delivered in the best of times, like in the most difficult times as we've seen as well over the past few years. Steady, high-growth, high OI growth business, great margin and great future. And maybe a few points here. The first one, they've reached the threshold of $1 billion sales in '23. For me, that was the moment to separate that business and to have it report directly to Darrell Brown, our Chief Operating Officer because it's a business where we want to have all the focus, all the attention, all the investment that we can get as well behind it because it's high growth, high margin, high return.  
 So that what we've done internally from a management operating perspective, that led directly, obviously, to how we report as well that business and wanted to make sure that our segment reporting was perfectly aligned with the way we manage as well the company at the same time. And on a side note, it helps you as investors, obviously, to see in full transparency how this business is performing. And how it's operating as well at the same time. And you're going to see that it's maybe not the biggest, best elimination business on the planet, but it's the best performing one, highest growth, highest margin, which is a pretty cool place to be.  
 Now on how we're going to keep driving that business for the future, it's going to be first and foremost, internal. So organic. We have a great team. And especially on the technology side, as you've seen during Investor Day, and we'll see so going forward as well. We're leveraging all the digital capabilities of our company. And keep in mind that we have in Industrial, for instance, 100,000 devices that are connected today. We have over 1,000 people in digital technology that have been working for years as well behind all the capability build that we have today. While we're going to leverage all that in our best elimination business to ultimately really transform that business into a digital business.  
 To the question of M&A, can't make big comments on that, but we will keep doing some small bolt-ons as we've done in the past because we know how to do it. It works really well. So every time we will find good companies that we can add to our Pest Elimination franchise, we will do so. So a great story that keeps getting better and will get better in the years to come. 
Operator: Next question comes from the line of John McNulty with BMO Capital Markets. 
John McNulty: So just wanted a little bit more clarity on the Life Sciences business. I know it's struggled a bit, but it does seem like it's finally starting to pick up a little bit of momentum. Can you flesh that out for us in terms of what you're seeing and maybe how that pipeline is filling out as we kind of look to the back half of this year? 
Christophe Beck: Yes, it's a good story, John. We know that building new growth platforms is hard. It takes time, but we've done it many times. Pest elimination that we just discussed was a perfect example that we did sort of years back as well. Life Sciences is one of the newest one that we have. And if you look at just the results in Q1, the fact that Life Sciences is growing in a market that's currently down double digit is showing how performing that business is and how interested our customers are in what we can offer.  
 So I like where we are versus the market, and I know that, that market is going to recover. Is it mid this year, second half of this year, early next year from a market perspective, I don't know. I can't influence that, but I can influence how we serve our customers, how we generate new business, and I like a lot what I'm seeing here. 
 Our innovation is best in the industry as well with a smaller one, the more agile one, the one that can truly answer immediate special needs for the biotech industry. I like a lot that position of the emerging leader that we're shaping here. So we came from a place where we were building now a place where we're seeing some positive signs of growth. We will keep investing in capabilities, in capacities because I firmly believe that this business is going to be a multibillion business down the road at margins that are going to be way north of our target of the 20%. 
Operator: Our next question is from the line of David Begleiter with Deutsche Bank. 
David Begleiter: Christophe, back on the growth investments, in terms of the timing right now, was there anything you're seeing in the market vis-a-vis competitors, opportunities that enhance your decision? And exactly where are the investments being focused by business and by geography, where is the biggest portion of that going? 
Christophe Beck: Maybe so to your first question. So where, as I've shared with many of you, so we look at our businesses in 4 key categories. The fuel the growth, the protect the growth, transform the growth and fix. Those are the 4 big broad categories where we put our businesses and our markets and invest accordingly to make sure that we do a very smart capital allocation based on projected returns. 
 So they are the obvious candidates here. We talked about life science just before. We talked about pest elimination just before, we talked about institutional just before, and especially in Industrial, there are 2 new areas that are having outsized growth opportunities, and those are data centers and semiconductors. We have a good position in both stores and markets. 
 As you know, those are 2 end markets that needs huge amount of energy/water and we help our customers ultimately to disconnect the growth related from AI from impact on natural resources, water and energy. And that's exactly what we do for the high-tech companies. It's to help them manage data centers that are, well, much more high-powered and much -- many more data centers, but at the same time reducing to 0, the impact on the environment and the same on the semiconductor side.  
 We're also investing in digital technology, which I'm really proud of what the team has done over the past few years, and it keeps accelerating because we have so much data, so much knowledge so much capabilities ultimately to leverage the knowledge that Ecolab has in every industry in order to help every industry to reach the max potential in terms of performance, in terms of business results and in terms of environmental impact. So that's the way we think in terms of growth investments. 
Operator: Our next question is from the line of Pavel Molchanov with Raymond James. 
Pavel Molchanov: PFAS has been up in the headlines in the U.S. And I guess I would just ask you to comment generally on what the opportunity looks like for you in the U.S. as well as internationally? 
Christophe Beck: Pavel, we've been on that topic for a very long time, but we don't want to be part of the marketing fray or political fray of PFAS, we are by far, the leader in water globally. And we've been in the business of mastering water purity for a very long time, like almost 100 years, as you know. So PFAS purification is one of the many things that we do and can do in water. 
 So we are working very closely with our customers, but mostly B2B, very limited interest to go to municipal government, residential. This is not where we are as a company. We remain on commercial, we remain on B2B. And we're working with our customers to really understand what they need, where they want to go. The very good news is that we have the technology, we have the science, we have the expertise to solve it. 
 We want to do it in a way, which is safe for the company, safe for the customers and that it can make a lot of money as well as for investors going forward. So more to come, I like where we are, and we'll see where we're going on this one. 
Operator: Our next question is from the line of Laurence Alexander with Jefferies. 
Laurence Alexander: I have a question around sort of your growth investments and the targeted returns. I think Ecolab usually has a metric for almost everything that we can think about. So do you have a sense for what your historical kind of hit rate is for those types of investments? Or -- and I guess what I'm getting at is, as you move more into sort of the data marketing to customers, is the hit rate getting better or worse compared to your expectations for how kind of your investments in staff and training and marketing are playing out? 
Christophe Beck: Well, the short answer is that the hit rate is getting much better, especially when we think in terms of digital technology, data AI, we are uniquely positioned, serving 1 million customers in the world in 40 different industries in 172 countries, and connecting, as you've heard, thousands of devices and operations around the world.
 Today, as we speak, we have capabilities that no one else has and data that no one else has as well at the same time. So we know that investing in digital technology is an almost 100% hit rate. When you think in terms of margins, well, there is no raw material into our digital technology. So our margins are way higher as well there. So it's kind of a combination of large potential, unique capabilities that we have and certain high-margin investing behind digital and AI for us is a no-brainer. And we've done it for 30 years, and we've accelerated the last 5, 6 years quite remarkably. 
 So this one, it's kind of 100% hit rate. For all the other ones, because like I've said before, we make absolutely sure that our SG&A productivity, underlying productivity improves continuously. And it does, and it's important that it continues to do so. But in some moments, like now, I want to accelerate our investments, as mentioned. So in our frontline buyer power, at the same time, beyond the digital investments as well in our capabilities as well to support our front line, so it's going to drive our ratio of SG&A, so slightly higher for a while. But when I think about the second half and 2025, I think it's going to normalize pretty nicely and underlying productivity is going to remain strong. 
Operator: Next question is from the line of Jeff Zekauskas with JPMorgan. 
Jeffrey Zekauskas: I think the overall volume growth of the company was 2% and I think that what you said was that in the industrial business, if you excluded paper, volumes increased. So I take it that industrial volumes were down year-over-year. Is that right? And in the institutional business, where volumes up, I don't know, 5 or 6. 
Christophe Beck: I guess that's the end of your question, Jeff. 
Jeffrey Zekauskas: Is the answer to my question. 
Christophe Beck: Very good. I will be too mature. I was not missing something, obviously here. So a lot on volume. You're right. So we're still 2% for the company. That's the way we report it. So that's not a surprise. That's why I'm saying the 1% to 2%. So for the year, I feel really good in getting that, again, that every quarter is created the same. We have some year-on-year comparison, we need to manage with. But the 1% to 2% feel good, and I'm talking '24 year. And individually here, institutional you're right. It's directionally, it's kind of half price, hub volume, doing really well, as I've shared as well, so previously as well in some of the question. 
 And in Industrial, overall volumes were flat-ish for the first quarter all in, and they were positive ex-paper. I don't want to correct too much, Jeff, as well. Within Industrial, when I think about the various businesses, I feel really good with where we are because if I go a little bit more under the hood. Well, you have heavy water, light water are kind of in the low mid single total growth here, not just volume. Downstream is high mid-single, so in a very good place as well. 
 And then we had mining that's a little bit negative because comparing against a crazy quarter in Q1 last year, but underlying doing really well, and then you have paper softness. So generally, industrial is moving in the right direction in a world where manufacturing demand is not exactly accelerating. So I like where we are and even more where we're going out. 
Operator: Next question is from the line of Steve Byrne with Bank of America. 
Steve Byrne: Kind of a follow-up on the pest control business. Do you have an estimate of what fraction of your customers within industrial and institutional are customers within pest control? And what could that fraction get to, is that the primary driver for that business? Or would you say expanding the platform and getting into other products like fumigation and so forth is the growth driver? 
Christophe Beck: Thank you, Steve. The pest business has grown over the last many years almost entirely through what we call Circle the Customer, Circle the Globe, which is penetration of customers that the company has even if pest elimination doesn't have. As pest elimination grew over the last few years, obviously, they got their new customers as well at the same time, which are feeding as well the opportunity for the other non-Pest Elimination businesses. But if I look at the opportunity of pest elimination within our customer base, well it's worth billions out there. So sky is the limit. That's why this business is something that I like so much. 
Operator: The next question is from the line of Kevin McCarthy with Vertical Research. 
Kevin McCarthy: Yes. Perhaps a few housekeeping questions on your surgical divestiture. Would you comment on the level of EBITDA attached to that business? I'm not sure what the tax basis might be, but perhaps you could also comment on the expected cash proceeds and the deployment of those proceeds when the deal closes in the back half of the year? 
Christophe Beck: Okay. Thank you. I'm going to pass that question to Scott. But before I get there, so you've heard in my open basically how we look at it. So we're not disclosing too much detailed business information. So underneath what we publish. That's the case, obviously, for a business within health care. So the $15 million headwind per quarter once we close is kind of a good direction, but more to that, Scott. 
Scott Kirkland: Yes, Kevin, I'll talk on the proceeds and gain but very high level. At this point, I don't want to get ahead of ourselves. We need to close the transaction first, which we feel very good in. And the proceeds themselves, we're going to remain committed to our capital allocation priorities, which is focused on investing in the business. And from a tax perspective gain, yes, we do expect to realize a very attractive gain on the sale but we'll disclose that amount once the deal closes and once the accounting is finalized. But -- and that gain will be in special charges just from a housekeeping perspective, and that's not included in the $0.15 estimate we had on the full year special charges. 
Operator: Our next question is from the line of Patrick Cunningham with Citibank. 
Patrick Cunningham: So Europe has been a drag on growth for several quarters. Can you give us your latest thoughts on the region and maybe how volumes trended in the quarter? And institutional standout as particularly strong there. Is that mostly market outperformance? Or is food traffic starting to improve? 
Christophe Beck: So 2 questions in here. So on Europe, I like a lot what this business has done. It just takes a big picture, 10 years ago, it's a market where we used to make no money. And today, it's a business that's close to the average of the company today. So has done a remarkable work, has grown very nicely last year, is growing as well in the first quarter in a very difficult environment, and margins have kept expanding, very significantly in Europe as well at the same time. 
 So overall, Europe performing very well in a difficult environment. Now to your question on institutional and the food traffic, it's mostly share gains within our customers and customers we don't have. Food traffic is not up versus 2019 right now and especially the traffic in the dining room so people sitting in a restaurant, not just taking a drive-through or ordering digitally as well. While this traffic is even further down obviously. So if I look at where we are in terms of growth, where we are in terms of margin in that business, well, it makes the performance of that business even better in a market that hasn't fully recovered yet because it's all driven by market share. 
Operator: Our next question is from the line of Andy Wittmann with Baird. 
Andrew J. Wittmann: Christophe earlier in the Q&A, you were talking about how you're investing across 3 growth vectors, kind of more people to help serve our customers, digital and AI. And then you talked about investing to serve more as one Ecolab. So there's been various initiatives to bring the whole solution to customers over time. So I guess I'd like to understand a little bit more about what you're doing here that's different from the past to try to circle that customer even better to use your terminology, I guess? 
Christophe Beck: Yes. Thank you, Andy. It's been a long journey, and it's going to be a continued long journey. At the end of the day, we call it our one Ecolab growth program. It's to provide our customers with a transparent view of all the businesses that are serving them and all the opportunities that they have, if they were to work even more with them. 
 At the end of the day, we want to help them drive the performance of all the units at the performance level of the best-performing unit. We know, which one that is. We know how to get there. We know how to help them get there. We need data transparency. We're making very good progress on that, and we will keep investing on that. 
 And the second part is making sure that our teams also have real-time data at their fingertips on their phone, knowing what's the potential that this specific unit is having versus the best-performing unit of that customer and how to get there. What are the best practices that I can use that I'm not familiar with. They've been probably used in another country, maybe in another business as well. I have all that information on my phone, and I can deliver that value as well so for the customer. And last but not least, needs to make sure that our back office, where we've made huge progress with SAP over the last 10 years. 
 We have 80% plus of our business on SAP so today is perfectly aligned with that proposition behind customers. So there is no revolution here. It's pure evolution. I'm taking the advantage of moving even faster in order to capture even more share in order to grow faster and get higher margin at the same time. 
Operator: Next question is from the line of Mike Harrison with Seaport Research. 
Michael Harrison: I was wondering if we could dig in a little bit more on the mining business. You mentioned that it was weaker year-on-year against a tough comp, but I'm just curious if you can give a little more color on what's going on and kind of how that's expected to trend the rest of the year? And then where are we in the process of shifting that mining business toward higher-value segments of the market? And I know you did an acquisition back in November, how does that acquisition help you further move along in that shift toward higher-value segments and fertilizers? 
Christophe Beck: Mike, 10 years ago, I was not exactly in love with our mining business because it was focused on segments of the past, coal, primary metals, all those things where the world is not exactly going towards to longer term. And we made the conscious decision back then to shift everything towards much less cyclical, much more growth focus and much higher margin as well at the same time. And we've made a total transformation of that business over the last 10 years and what was 80-20 yesterday is closer to 20-80 today, which is why I like where we are and even more where we're going with mining. 
 When you think about mining, well, think about green transformation, think about copper, think about lithium. That's where we spend a lot of time. So it's precious metals as well at the same time and the mining industry has a lot to do with water to say the least because most of the time, there's not enough water and the water they produce is not exactly great for the environment. 
 We can help on both ends, we use and recycle water for ultimately a much better mining operation with a much lower environmental impact. So we've really driven that transformation. That takes time. Changing a portfolio within a business is something that takes years to get to the right place. And we've reached that place and the acquisition we did last year, as you just mentioned, well, it is helping towards that because it's towards the new mining as we call it as well. So at the end of the day, right portfolio, much less cyclical, almost no cyclicality and margin much better. We had that year-on-year comparisons with the first quarter of '23 was up 42% last year. So it's just a year-on-year comparison. The next quarters to come for the most part, is going to be a very good story. So if I didn't like mining so much 10 years ago, I like mining a lot today. 
Operator: Our next question is from the line of Vincent Andrews with Morgan Stanley. 
Vincent Andrews: Christophe, if I could go back to the investment spending, I'd love just to get your thought process on how you sort of came up with the amount to spend. And I guess I'm just asking, did you set a bar or hurdle somewhere. Are you trying to achieve a certain outcome either in terms of your near-term earnings or your medium-term volume growth? And I guess, why wasn't the number higher or lower? What things did you say no to versus what things that you absolutely have to do? 
Christophe Beck: Yes, Vincent, the guiding principle is to invest in wise that help us raise the probability of delivering our targets of the 5 to 7 the 20% OI margin, as you know, and 12% to 15% EPS growth as well at the same time for the long run. This is my job. This is our promise. This is what we're working all together towards to. So that's the way we're looking at those investments. It's not meant in a short-term way at all. .
 It's all about delivering our long-term commitment. So there's not a threshold, well there's a threshold of making intelligent moves, and trying to avoid dumb moves at least willingly. That's probably the only one we have there, and in some places, when we think about global high tech, in data centers, in semiconductors saying, "Well, let's go there as fast and as deep as we can. We have a leadership position. It's a huge market that keeps getting bigger as well out there." I'm not putting a threshold here. It's get it done as fast and as well as you can. But at the end of the day, it's making sure that we get the 5 to 7, the 12 to 15 EPS and a 20% OI margin, as we've talked about in the next few years. This is my guidepost and my promise to you. 
Operator: Mr. Hedberg, there are no further questions at this time. I would like to turn the floor back over to you for closing comments. 
Andy Hedberg: Thank you. That wraps up our first quarter conference call. This conference call and the associated discussion slides will be available for replay on our website. Thank you for your time and participation, and hope everyone has a great rest of your day. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day.